Operator: Welcome and thank you for standing by. At this time all participants are in a listen-only mode. [Operator Instructions] Today's conference is being recorded. If you have any objections, you may disconnect. I will now turn the conference over to Mike Heifler. Thank you. You may begin.
Michael Heifler : Thank you, Denise. Good morning, everyone, and thank you for joining us. The press release and presentation slides for our call today have been posted to the Investors section of our website at adient.com. This morning, I'm joined by Jerome Dorlack, Adient's President and Chief Executive Officer; and Mark Oswald, our Executive Vice President and Chief Financial Officer. On today's call, Jerome will provide an update on the business. Mark will then review our Q1 financial results and provide insights on our outlook for the rest of fiscal 2025. After our prepared remarks, we will open the call to your questions. Before I turn the call over to Jerome and Mark, there are a few items I'd like to cover. First, today's conference call will include forward-looking statements. These statements are based on the environment as we see it today and therefore involve risks and uncertainties. I would caution you that our actual results could differ materially from those forward-looking statements made on the call. Please refer to Slide 2 of the presentation for our complete Safe Harbor Statement. In addition to the financial results presented on a GAAP basis, we will be discussing non-GAAP information that we believe is useful in evaluating the company's operating performance. Reconciliations for these non-GAAP measures to the closest GAAP equivalent can be found in the Appendix of our full earnings release. And with that, It's my pleasure to turn the call over to Jerome.
Jerome Dorlack : Thanks, Mike. Good morning, everyone, and thank you for joining us today. Today, we will review our first quarter results and share additional insights into the industry landscape and how we see fiscal 2025 shaping up. In addition, we will give you a high-level overview of current business developments and then turn it over to Mark to review the financials on our full-year outlook. Turning now to Slide 4, we are off to a solid start in fiscal 2025 with improved business performance first year ago, allowing us to mitigate ongoing customer volume and mixed headwinds. As a result, we were able to contain decremental margins to approximately 12% below our typical 18% on a 5% year-over-year decline in revenue. We achieved $196 million of adjusted EBITDA and generated $45 million in free cash flow. As we signaled on our Q4 call, we anticipated significant headwinds in our fiscal first quarter. Owing to inventory de-stocking at our major Detroit-based customers, in the Americas, an ongoing European customer production mix headwinds. In Asia, we experienced soft demand from our core customer base in China, including luxury and Japanese OEMs. In this market, we also saw a promising new startup cease operations. I'll discuss the industry dynamics in China in the next two slides. All things considered, the quarter was in-line with our internal expectations. We also continued to allocate capital in a disciplined manner and bought back another 25 million in stock in Q1, bringing total share repurchases so far in fiscal 2025 and 2024 to 300 million. Our balance sheet remains strong with ample liquidity, including $860 million of cash on hand at the end of Q1. I'm also proud to share that we have released our 2024 sustainability report, where we have highlighted several notable accomplishments, which I will go over shortly. We have received excellent customer feedback from many of our investors and our customers on our ongoing sustainability focus. Moving to Slide 5, let me walk you through some of the regional dynamics we have been observing and navigating through. First, in the Americas, as expected, we saw customers successfully reduce inventories, particularly in the full-size pickup truck segment. The industry is in a far better position entering calendar year 2025 with an improving SAAR and healthier stock levels. In fact, December auto sales of [16.8 million] (ph) were the highest seasonally adjusted annual pace since May of 2021. With normalized inventories, current selling rates appear to support forecasted production schedules in calendar year 2025. As we mentioned last quarter, key customer launches that were slow to ramp during most of fiscal year 2024 have been producing at full run rates, giving us a tailwind this year. Last point on the Americas, we continue to evaluate potential tariffs and have been developing plans to mitigate impacts if imposed. Turning now to EMEA. Industry conditions remain challenging with strong production headwinds and program delays from economic and political uncertainty around electrification policies. Lower exports and increasing competition from Chinese imports and entry-level segments despite new tariffs. Our multi-year restructuring plan in Europe remains on track with activities ongoing. As a reminder, we expect savings from these actions to continue to ramp up through 2027, and we anticipate about a third of these savings to be realized in fiscal year 2025. Lastly, we continue to monitor customer restructuring developments and we'll align our production and capacity accordingly. We're actively shaping our European footprint for a smaller market and future localization of new players. Looking at Asia, macro conditions remain challenging. Despite a tough backdrop, the region continues to generate double-digit margins and strong free cash flow. In the quarter, our China sales underperformed the overall market. I will get into more details on that in the next slide. Although sales were softer, our China operating performance remained strong and the team was mostly able to offset lower contribution margin. Additionally, in Asia outside of China, we significantly outperformed the overall market due to new program launches ramping up. Turning to the next slide, let's dive deeper into what's going on in China. Based on current outlook, we see China revenue flat to slightly declining in fiscal year 2025, primarily driven from unfavorable production mix from increasing export and local OEM volume. Challenging market conditions that emerged in late calendar year 2024 have continued into calendar year 2025, with underlying auto demand continuing to soften outside of short-term scrappage schemes. Government stimulus has been modestly effective, but mostly in entry-level segments where Adient has minimal content. Additionally, competitive pressures have intensified, leading our traditional European luxury and Japanese-based customers to reduce their fiscal year 2025 production targets. We have seen several OEMs cancel programs and one of our targeted new entrants has ceased operations potentially signaling the early stages of industry consolidation. Market share gains by BYD and growth of exports have bolstered the overall China production outlook. S&P's China production forecast for calendar year 2025 calls for 3% year-on-year growth. However, digging a bit deeper into that, excluding BYD and exports where we have less consolidated entity content, production is expected to be down about 5%. It is worth noting, however, that we have significant component business with BYD through our Kuiper joint venture. We are also supplying components for BYD in Thailand, and our commercial teams are bidding on significant new business with BYD in China and elsewhere throughout the world. While near-term macro headwinds and customer mix pressures exist, Adient remains a supplier of choice with both domestic and Western OEs. We are continuing to leverage our technical capabilities, leading product innovations, and high content expertise, coupled with our domestic and global footprint and local knowledge to win new business with local OEMs, driving profitable growth in the next two years to three years. As a proof point, in fiscal 2024, we won new and replacement business with about $1 billion of annual revenue. 90% of this business is with local OEMs, much of which launches in fiscal year 2026 and 2027. Approximately half of this is all new revenue. In addition, given the challenging backdrop this year, the Adient Business Model is proving resilient and the team is mitigating loss contribution margin on lower consolidated sales by executing profit improvement actions such as cost reductions and commercial initiatives. Bottom-line is that we are taking actions to grow rapidly with local China OEMs even with pressure from declining foreign OEM customers, our China business remains highly profitable and cash generative. Our Asia segment, of which China is a key market, achieved greater than 14% adjusted EBITDA margins in Q1. Moving on now to Slide 7, we are prioritizing winning the right business and executing successful launches. Our business awards this quarter demonstrate further growth with China local OEMs and enhancements to our global customer relationships. It is worth highlighting the new business with Mercedes on the E-Class platform. We were successfully able to conquest this business from a global incumbent. It includes the front seat and rear seat jet, rear seat frames, armrests, headrests, foam, trim, and other functional parts. An excellent win for our China team. In Asia, we are launching a high level of new programs. In Q1 alone, we had 16 programs launched in the region, and we have more than 70 programs launching in the balance of the year. We have a healthy flow of upcoming launches beyond fiscal 2025. We see strong momentum in the region, which resulted in part from our innovative capabilities to drive an outstanding customer experience while also maintaining a competitive business case. As you can see on the chart, these wins are vertically integrated complete seat systems that are comprised of JIT, trim, foam, and in some cases metals, where is accretive to the business case. This is a key enabler to improving margins. Underpinning our new business wins is our high level of execution on multiple launches. We continue to perform on safety, quality and on time metrics for our customers. Moving on now to Slide 8, we are focused on driving sustainable growth into our business and reducing our impact on climate change. We strive for responsible use of natural resources by improving energy efficiency in our operations and reducing the carbon footprint of our finished products and developing processes that protect our planet's natural resources. Adient is pursuing the use of sustainable materials, products and circular economy by identifying materials and manufacturing methods that minimize our environmental impact and promote a circular approach to product development. I want to recognize the Adient team for their accomplishments in 2024, including a 38% reduction in Scope 1 and Scope 2 greenhouse gas emissions from our base year, 29% utilization of renewable electricity and a strong commitment to a diverse supply base and an inclusive workplace. Finally, now moving on to our key takeaways on Slide 9. The company continues to drive higher levels and improve business performance which has helped to mitigate some of the macro pressures. The Adient operating model is enabling the company to maintain its earnings and free cash flow guidance, which Mark will get to in a minute, despite incremental FX headwinds and softer customer production volumes in China and EMEA. The Americas continues to expand margins. The Asia region continues to have strong margins and free cash flow and continues to win new business with local China OEMs, while EMEA continues to execute on its multi-year restructuring plan. And finally management is committed to generating cash and creating value for Adient's stakeholders. Now, I'd like to turn it over to Mark to take you through our financials and outlook.
Mark Oswald : Thanks Jerome. Let's jump in with financials on Slide 11. Adhering to our typical formats, the page shows our reported results on the left side and our adjusted results on the right side. We will focus our commentary on the adjusted results, which exclude special items that we view as either one time in nature or otherwise skew important trends in underlying performance. Details of all adjustments for the quarter are in the appendix of the presentation. High level for the quarter adjusted EBITDA was $196 million down 9% year-on-year. Our decremental performance on $165 million decrease in revenue from a year ago was about 12% which reflects our resilience and ability to drive business performance to mitigate external pressures. Worth noting that our underlying equity income remains quite strong despite this quarter's results being impacted by a one-time $12 million retroactive change to our Kuiper JV agreement. Adient reported adjusted net income of $23 million or $0.27 per share. I'll cover the next slides rather quickly since details of the results are included on the slides. This should ensure we have adequate time for Q&A. Starting with revenue on Slide 12, we reported consolidated sales of approximately $3.5 billion, a decrease of $165 million compared with Q1 fiscal year 2024. The primary driver of the year-on-year decrease was lower volumes and pricing of $160 million, resulting from lower customer production. FX was a slight headwind, call it $5 million in the quarter. Focusing on the right hand side of the slide, Adient’s consolidated sales were lower in Americas and EMEA, while sales in Asia were flat year-on-year. In The Americas, lower sales mostly in line with the market were driven by lower volumes from inventory destocking actions at certain U.S. based customers particularly in the key full size truck programs. In Europe, we were negatively impacted by overall weaker market demand, sales were in-line with the market. In our APAC region, sales in China underperformed the industry production primarily due to key customers platforms not benefiting from scrappage or trade-in incentives aimed at the low entry level products. Growth in exports where we have little to no content and resulting production declines from our traditional European luxury and Japanese OEM customers. Asia outside of China was 1600 basis points better than the overall market due to growth with customers mainly in Japan and Korea resulting from new program launches ramping up. Regarding Adient's unconsolidated seating revenue, year-on-year results were slightly down, call it 2%, adjusted for FX. Results were affected by lower production volumes in The Americas and Asia regions. Moving to Slide 13, we provided a bridge of adjusted EBITDA to show the performance of our segments between the periods. Adjusted EBITDA as mentioned was down 9% at $196 million. The primary drivers of the year-on-year comparison are detailed on the page. The Adient team drove improved business performance of $28 million, primarily resulting from better net material margin and reduced operating costs including lower launch costs. The improved business performance partially offset volume and mix which was a $39 million headwind driven by lower customer vehicle production in EMEA and unfavorable product mix in Asia. We incurred a net commodity headwind of about $8 million in primarily resulting from the timing of recoveries. As in past quarters, we provided our detailed segment performance slides in the Appendix of the presentation. High level for The Americas improved business performance of $8 million in Q1, was primarily driven by favorable freight costs and lower launch costs. The volume and mix swung to a tailwind this quarter of $5 million benefiting from stronger production of high content profitable programs such as the GM Traverse, Acadia and Enclave during the quarter, despite de-stocking activity at large pickup trucks. Commodities were a $9 million headwind, driven by the timing of contractual pass throughs. In EMEA, year-over-year results were influenced by weak volume and mix which negatively impacted the quarter by $26 million from lower customer production. Business performance which was a positive $2 million in was driven by better net material margin and operating performance including restructuring actions. As we have previously articulated, we are taking steps to adjust our costs in Europe. We continue to assess additional efficiency actions in the region. We continue to expect cash restructuring costs in the neighborhood of $100 million in fiscal year 2025, primarily related to European restructuring charges taken in fiscal year 2024. In the quarter, we incurred $35 million of cash restructuring. In EMEA, as previously mentioned, we are focused on driving additional operating efficiencies, restructuring and executing on our plan which includes the roll-off of lower performing metals business and the start of production of better margin new business which we believe will inflect positively in 2026. Moving on to Asia, we generated positive business performance of $14 million from improved net material margin and lower launch costs. Volume and mix negatively impacted the quarter by $18 million. In summary, the company continues to drive improved business performance across all regions which we expect to continue throughout 2025. Let me now shift to our cash, liquidity and capital structure on Slides 14 and 15. Starting with cash on Slide 14, for the quarter free cash flow defined as operating cash flow less CapEx was $45 million. Key drivers of the year-on-year comparison included the benefits associated with typical month-to-month working capital movements and timing associated with capitalized engineering recoveries. These benefits were partially offset by increased cash restructuring and lower earnings. We continue to expect solid free cash conversion in fiscal 2025. One last point and is called out on the slide, Adient continues to utilize various factoring programs as a low cost source of liquidity. At Dec 31, 2024, we had $172 million of factored receivables versus $170 million at Fiscal year-end 2024. Flipping to Slide 15, as noted on the right hand side of the slide, the company returned $25 million to shareholders in Q1 through share repurchases. Adient is committed to being good stewards of capital while maintaining a strong balance sheet ensuring efficient allocation of resources and ample liquidity. Turning to our balance sheet, Adient's debt and net debt position totaled about $2.4 billion and $1.5 billion respectively at December, 31, 2024. The company's net leverage at December 31, was 1.8 times within the targeted range of 1.5 times to 2 times. Total liquidity for the company was approximately $1.7 billion at December 31, comprised of $860 million of cash and $875 million of undrawn capacity under Adient's revolving line of credit. Moving to Slide 16, let's review our current expectations around our fiscal 2025 outlook. For the full year, we now expect sales to be approximately $13.9 billion down from our previous expectations. The largest driver of this revision is FX translation owing to a stronger U.S. Dollar. This is about $200 million incremental headwind on the top-line and roughly $15 million impact to EBITDA and free cash flow. We also are incorporating lower production levels in Asia and EMEA, approximately $150 million in lower sales. We expect to be able to mitigate these macro headwinds and offset decremental margin and lower volume through strong business performance. Consequently, we are holding our guidance expecting adjusted EBITDA to be near the low end of our guidance range of approximately $850 million. We do anticipate our free cash flow to be closer to $180 million, as a result of translational FX impacts. We remain laser focused on cash generation including driving additional efficiencies in capital spending and working capital. With regard to tax expense for the year, for modeling purposes, you can assume around $115 million of adjusted tax expense for the fiscal year. One last point with regard to our outlook. We continue to expect our overall earnings will be weighted towards H2 versus H1. Although we don't provide quarterly guidance, I think it's a good reminder that our second quarter results are seasonally impacted by the China New Year. In addition, certain of our customers have had their production schedules adversely impacted by severe weather across North America entering our second quarter. Based on those factors, it's likely Adient's Q2 results will look a lot like Q1. To sum it up, we remain focused on managing the business controllables such as delivering excellent results for our customers, lowering costs and generating strong free cash flow for the owners of our business, while maintaining a strong balance sheet with ample liquidity. With that, let's move to the question and answer portion of the call. Denise, can we please have our first question?
Operator: Thank you. [Operator Instructions] Our first question comes from Dan Levy with Barclays. Your line is open.
Dan Levy: Hi, good morning. Thank you for taking the questions. First, maybe if we could just start with a bit of a housekeeping question. Perhaps you could just give us a sense of what you were assuming now on the different end markets? I know you trimmed your outlook on China and EMEA. Are you just -- are you in-line with the third-party data forecasters? And maybe you could just comment a bit more on some of the customer mix dynamics within your guidance?
Mark Oswald: Yes, Dan. Good morning. Yes, I'd say that the current outlook does reflect latest outlook for production based on S&P. Obviously we do tweak it here and there based on what we know from the customers. But yes, all-in-all, I'd say it's generally in-line. When I think about mix, and we mentioned mix over in China for example, certain of the EVs that are coming to market tend to be at a lower margin versus the outgoing product. And so that's the negative mix that you're seeing over in that region.
Jerome Dorlack: Yes. The only -- just maybe to build on what Mark said, given the nature of our business and the proximity to our customers, just in time aspect of it. We do run on, call it EDIs or customer releases for the nearest quarter. So we do build what would be kind of our quarter we are in right now, where our Q2 is basically EDI based and then Q3 and Q4 would be S&P based from that standpoint.
Dan Levy: Got it. Thank you. As a follow-up, if we could maybe double click on the business performance. And I know in the past, you've sort of laid out a few different line items. So maybe just in the first quarter, what was driving that, and I believe that was a bit more outsized in Asia. How much of this is just continuous improvement versus customer recoveries? And then what levers do you have to accelerate the business performance, if some of the macro headwinds remain challenging?
Mark Oswald: Yes. So I will start there. So when I think about business performance, Dan and there is quite a few items within that bucket, right? But what we called out obviously for Q1, launch costs were down in certain of the regions. When I look at ops waste, freight costs, right those are all contributors to positive business performance. Net material margin, our ability to basically get pricing for the customers, et cetera, right? Those are all things that I would say that are in that bucket that we basically are driving [toward] (ph). And obviously, that offsets certain of the other, what I’d say, headwinds that you may get, whether it's labor inflation, et cetera, right? So those are the buckets. When I think about our ability to pull things forward, we are continuously working with the customers. We're continuously looking to see what type of automation we could add to the plants to make it more efficient. So I'd say, we've got the playbook, we'll continue to execute that. I think if you looked at our results in '24 on the business performance line. And again, what we're expecting now for 2025, showing good results in terms of what the company is going to be able to do in terms of driving that forward.
Jerome Dorlack: And just to build on what Mark said when you ask about our ability to accelerate, I think '24 was a very good proof-point of that. I mean, as we saw -- some of the macro headwinds really building, especially in the back half of the year, we saw in The Americas in particular, a lot of the inventory de-stocking taking place. We saw a lot of the large pickup truck segments that we were on, starting to face a lot of headwinds, I mean you really saw us ramp up business performance. You saw us taking what would be a normal decremental for the company at the 17% to 18% range, and we were really able to hold that throughout the back half of the year closer to kind of that 11% to 12%, and that's really through incremental business performance. And I mean, that's what we are able to do through additional, whether it be customer recoveries, whether it is through additional operational belt tightening. We drove a lot of, I would call it, automation opportunities in the back half of last year, taking out both direct and indirect labor through operations, that's actually starting to pay benefits now in fiscal year '25, being able to hold some of those decrementals. So I mean, it is a resilient business model, the Adient operating model, we like to call it, and that's what's allowing us to manage through some of these short-term macros that we see.
Dan Levy: Great. Thank you.
Operator: The next question comes from James Picariello from BNP. Your line is open.
Jake Scholl: Hi guys. This is Jake on for James. Just first, can you help us think about the potential impact of any North American tariffs on your business, especially on some of your initiatives to move more of the value-add portion of the manufacturing components in Mexico? Thank you.
Jerome Dorlack: Yes. What we would say is, I mean we have, not unlike our competitors in the space or other Tier 1s, whether you go across the safety space, some of the electronic space, anyone in automotive, a significant Mexico footprint, certainly with our cut and sew operations we've talked about that in the past. Certainly, some of our metal operations that we have localized down into Mexico, as a result of the China tariffs, we moved that into Mexico. We now ship some of that north of the border. So it is not an insignificant amount of business that then transits its way into the U.S. I think what's important is we have action plans established by each one of our customers. We have now begun engaging in meaningful dialogue with those customers. The customers have a level of understanding of what the impact is. We've made it clear to them that this is not at a 25% level or even at a 10% level, a burden that Adient is prepared to take onto our P&L on an ongoing basis, and there will be a need for recovery that has to then be passed through the value chain. There's defined timetable for us to move through these processes with them, and we'll manage through this depending on what the administration enacts come February 1. And so we're working through that in a very timely and I would say, almost hourly basis in some cases.
Jake Scholl: Thank you. And then I think we are all impressed with the 7% base decrementals on the lower volume in Asia and Europe. But how should we think about incrementals and decrementals for further shifts in production this year? Thank you.
Mark Oswald: Yes. I'd say that the typical incremental margins for us are decremental is, call it 17%, 18%. As we showed in the first quarter, we were able to minimize that and get that down quite low, call it 12% or so. If we have a line of sight in terms of when that production is coming out, it affords us and allows us to basically make some changes in the operating patterns, which allows us to basically take those costs out and to contain those. It's really when you get the sudden shifts in production or the short notices of production coming out that hampers our ability to basically minimize those. So as we go through the rest of this year, we'll continue to work hard to keep those decrementals lower. I think our guidance is predicated on the fact that we will be successful in doing that. So we'll continue to run the playbook that we demonstrated in 2024 as well as in Q1. Thank you Jake.
Operator: Thank you. The next question comes from Colin Langan with Wells Fargo. Your line is open.
Kosta Tasoulis: Hi guys. This is Kosta Tasoulis filling in for Colin. I just wanted to build off the tariff playbook again. Would you be able to maybe describe how your tariff playbook is better today relative to how you guys handled it in 2017?
Jerome Dorlack: I know that's a question of if it's better or worse. I think if you look at 2017, I think we were very effective in 2017. I mean, we entered 2017 with call it, somewhere between a $40 million to $60 million of gross exposure, and we sit now today with something of a net exposure in single digits. So I think we are very, very effective in what we're able to do from the [232 and 301] (ph) tariffs. If you look at the magnitude of where these tariffs stood at a 25% or even 10% range, it is a question of speed, and it took us -- when those came in somewhere in kind of a 12-month to 16-month range to work through that. Obviously, given the magnitude of these, we would need to work through this in a much more expeditious manner. So I think the difference between 2017 and now is the time and the speed at which we would need to work through in terms of efficacy of a solution. And so what 2017 did is it prepared us in terms of playbooks. I think it also prepared the industry and our customers in terms of how, not only Adient but also the entire supply base and the value chain, would be approaching and working through these types of solutions.
Kosta Tasoulis: Thank you. And my second question is, I think your initial growth over market guidance in China is 6%. How is that shaping up in today's updated guidance?
Mark Oswald: Yes. So today's guidance, as we indicated, we would expect our sales to be flat to down versus last year, right? If you look at where the overall market is trending in China as Jerome mentioned in his portion of his prepared remarks. The market's up, but it is really attributed to the growth in BYD and exports, right? If you strip those out, obviously the market would be down. So again, I would say, that this year, slightly worse versus earlier expectations heading into 2025. But as Jerome also pointed out on the call, we did win $1 billion of new business last year that comes on board in '26 and '27, which then helps us drive growth in that region again as we get into 2026 and 2027.
Kosta Tasoulis: Great. Thanks for taking my questions.
Mark Oswald: Thank you.
Operator: Thank you. [Operator Instructions] I am currently showing no further questions.
Jerome Dorlack: Okay. I want to thank everyone for your interest in Adient today, and we will be available for the rest of the day for follow-up questions. Feel free to reach out to me, Mike Heifler, Investor Relations at Adient. Thank you.
Operator: That does conclude today's conference. We appreciate your participation. Have a great day, and you may disconnect.